Operator: Good day, ladies and gentlemen and welcome to the Globe Specialty Metals first quarter fiscal 2013 earnings call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session with instructions following at that time. (Operator Instructions) As a reminder this conference is being recorded. Now, I will turn the conference over to Malcolm Appelbaum, Chief Financial Officer. Please begin.
Malcolm Appelbaum: Good morning. I am going to read a brief statement and then hand it over to our CEO, Jeff Bradley. Statements made by management during this conference call that are forward-looking statements are based on our current expectations. Risk factors that can cause actual results to differ materially from these forward-looking statements can be found in Globe's most recent SEC filings and the exhibits to those filings. Jeff?
Jeff Bradley: Good morning, everybody. Thank you for joining us on the call this morning. In the first quarter of the new fiscal year, sales were $200.7 million and shipments were 70,030 tons. EBITDA, on a comparable basis was $31.1 million, off from $32.5 million last quarter, driven mainly by the power outages we experienced this summer at a number of our plants. We recently started negotiations on our 2013 silicon business and orders are coming in at a healthy pace. To date, we have commitments for more than half our expected 2013 silicon metal production and negotiations are continuing for the balance. As in the past, we have a business at fixed prices and business tied to indexes. I am pleased to report that the fixed price business together with the index business is in aggregate price above the current published indexes. We will continue to sell on a fixed and indexed basis as appropriate and leave room for spot business as well. We are seeing consistent demand and positive signs in the major end markets that consume our products directly and indirectly. Additionally, we are continuing to develop other potential revenue streams, such as fume and third party sales that are offering raw materials that will add additional value and increase profitability to the company. Overall, the operations are running well. I spoke with enthusiasm for our newest acquisition Quebec Silicon in Bécancour, Canada on our last call and I am pleased to report that we have started to see the impact of our improvement initiatives in this quarter. As a result of the increased use of Alden coal, assigning one of our best operating managers to the plant and the first improvements we have made, we set an all time production record in September. We still have more work to do to achieve greater consistency and we believe this facility will eventually be comparable to other plants in terms of cost and efficiency. Our Alden operation continues to improve. As is just mentioned, Alden is now shipping a significant amount of coal to the Bécancour plant and I am pleased to report that we also had record production here out of the mines in the quarter. In this current quarter, we are a taking each of the three furnaces in Bécancour down for approximately a week each for plant maintenance. We knew we had to do this when we acquired the company. Once the outages are complete, by year-end we expect next year's production to be higher than this year and we look forward to continuing the improvements we have started. In this quarter we also have two planned furnace maintenance outages at our Alloy plant. One is complete already and lasted about 17 days. The other is going to take more work and we will the furnace offline starting December 1 through the end of January. Niagara Falls is on pace this year for record production and production in this first fiscal quarter was the highest since we reopened the plant in '09. Next quarter, we will have a routine plant 30 day outage on one of the furnaces. We do not have any more outages planned for the balance of the fiscal year. As anticipated, we are seeing an uptick in deal flow. As we illuminate environment that present us with numerous growth opportunities including potential acquisitions, we will continue to analyze all such growth opportunities to determine if they cut our very disciplined criteria in terms of investment cost, preservation of margins, accretion and a potential to enhance shareholder value. At the same time, we remain mindful of our philosophy of preserving the strength and the flexibility of the balance sheet for both defensive and opportunistic purposes. At this time, now, Mal, I turn things over to you.
Malcolm Appelbaum: Thank you, Jeff. We have a few financial related slides which you will view automatically if you are listening to the call through our website. Just click on the maximize button on the bottom of the window to expand the slide to full screen. Otherwise the slides are posted in the Events and Presentation section of our website, www.glbsm.com. EBITDA on a comparable basis for the first quarter was $31.1 million, compared to $32.5 million in the fourth quarter. This minor decline was primarily related to the impact of the previously announced weather related power outages in July at our Alloy, West Virginia and Bridgeport, Alabama plants, partially offset by a full quarter's ownership of Quebec Silicon which closed in mid-June. Silicon metal shipments increased 15% in the first quarter or 5,100 metric tons over the fourth quarter with the vast majority of the increase relating to a full quarter ownership of Quebec Silicon, the plant we acquired in Bécancour, Canada. Silicon based alloy shipments decreased 6% due to lost production at the Bridgeport, Alabama plant from the weather related power outage in July. Silicon metal and silicon based ally average selling prices increased slightly from the last quarter. Cash cost of production per ton increased by approximately $3 million in the quarter as a result of the weather related power outages. Reported EBITDA totaled $6.8 million in the quarter and included a $23.6 million charge for a change to our existing stock option plan to allow for the cash settlement of stock options which was discussed in our 10-K filed in August and transaction related expenses of $600,000. EBITDA on a comparable basis was $31.1 million compared to $32.5 million in the fourth quarter. Our existing stock option plan must now be accounted for under variable plan accounting which records the value of the unexercised options to be recorded in our balance sheet as a liability through a charge to expense and for any change in future value, up or down, to be recorded through the income statement. We intend to call out all future changes in value as adjustment to EBITDA. Sales from the first quarter increased 5% from the fourth quarter as total shipments increased 5% or more than 3,000 metric tons due to the Quebec Silicon acquisition, partially offset by the impact of the July weather related power outages. Our first quarter gross margin was 16% compared to 18% in the fourth quarter. This decrease is almost entirely related to the impact of the weather related power outages in July. SG&A expense was %37.7 million which includes the $23.7 million charge for the re-measurement of our existing stock option plan and $600,000 in transaction related in due diligence expenses. Excluding these items, SG&A expense decreased $1.4 million in the quarter. Reported results were impacted by transaction related and due diligence expenses and a change in the accounting methods to the existing stock option plan. Excluding these charges, EBITDA on a comparable basis for the first quarter was $31.1 million. We consolidate the joint ventures we have with Dow Corning at our Alloy, West Virginia and Bécancour, Canada plants. Dow Corning's 49% interest in those joint ventures equate the EBITDA of $3.6 million in the quarter. SG&A expense prior to the charge for stock options and transactions and due diligence expenses was $13.3 million which was a decline of $1.4 million from the fourth quarter. EBITDA on a comparable basis was $31.1 million and diluted earnings per share on a comparable basis was $0.16 per share The next slide is the sales bridge showing an increase in sales in the quarter for $9 million dollars. Slightly higher selling prices for silicon metal and silicon-based alloys contributed $1.2 million to sales. Increased silicon metal volume, largely from a full quarter of Quebec Silicon ownership, contributed $14.2 million. This increase is partially offset by the lower volume of silicon metal alloy shipments from the weather-related power outage in Bridgeport. The next slide is an EBITDA bridge showing a $1.4 million decrease in EBITDA on a comparable basis. The small increase in average selling price and the increase in sales volume from Québec Silicon served to increased EBITDA. These increases were offset by the effect of the weather-related power outages and power related hedges. We partially hedge our power cost in Argentina by ownership of a small stake in two hydroelectric facilities. In the prior quarter, we received $700,000 dividend from these investments for the calendar year which will not repeat itself again until next year. The next slide shows cash flow for the period. Cash flow from operations in the first quarter was $15.9 million. Working capital decreased by $29.6 million in the quarter which include the charge for the stock options. Excluding this charge, working capital was relatively flat with an increase in inventory due to intentionally hard coal inventories which provides for coal during the winter months in Canada and allows us to ship by rail instead of truck, a considerably less expensive method and the timing of finished goods shipments. These were offset by lower accounts receivable and higher accounts payable. Cash capital expenditures totaled $8 million in the quarter largely for plant maintenance outages in Alloy, West Virginia Bridgeport, Alabama. We expect working capital to remain relatively stable in our fiscal second quarter. At September 30, we had $182.1 million of cash, an increase of $4.1 million from the quarter and $143.7 million of debt, including $30.1 million used to finance the Quebec Silicon acquisition and $16.7 million for our two joint ventures with Dow Corning. The income tax expense benefit for the fourth quarter totaled $1.3 million for an effective rate of 20%. This rate is artificially since the net loss caused by the stock option charge is only deductible against domestic income. Excluding this charge, we expect the tax rate to remain in the range of 33%. We have five planned maintenance outages in the second quarter, as Jeff indicated, three of which are only one week long, two in Alloy, West Virginia and three in Bécancour the effect of these outages will be the reduced production by approximately 5% from the first quarter level. Primarily as a result of these outages we expect EBITDA to decline by approximately $3 million in the second quarter. For calendar 2013, we expect to produce and sell approximately 110,000 metric tons of silicon metal, and 115,000 metric tons of silicon-based alloys. We would now like to open the call to questions.
Operator: (Operator Instructions) First question is from Ian Corydon of B. Riley and Company. Your line is open.
Ian Corydon - B. Riley and Company: First a quick follow-up. Mal, those production numbers that you estimate for 2013, that's fiscal 2013, correct?
Malcolm Appelbaum: No, sorry, that is calendar 2013 and obviously excludes Dow Corning's portion of the joint ventures.
Ian Corydon - B. Riley and Company: Got it, and the decline in SG&A, ex-charges, sequentially. Is that a sustainable level for your SG&A.?
Malcolm Appelbaum: That’s not. It's truly timing in.
Ian Corydon - B. Riley and Company: Okay and I was a little surprised to see silicon metal prices up a couple of pennies sequentially. Is that $1.27 number a good number to use for the December quarter as well?
Malcolm Appelbaum: We don’t like to estimate down to the penny, where our selling prices are going to be but I think overall you can tell by the comments I made that overall we are very optimistic.
Ian Corydon - B. Riley and Company: Okay, last question. Can you just remind us when the Quebec Silicon labor contract comes back up for renegotiation?
Malcolm Appelbaum: The contract that we have right now ends at the end of April
Operator: Thank you. Our next question is from Ian Zaffino of Oppenheimer. Your line is open.
Ian Zaffino - Oppenheimer and Company: First, the uptick in pricing. Can you give us an idea what drove that? Was that supply side or that demand side? If it was demand, where did you see it? If it was supply, where did you see it?
Malcolm Appelbaum: Ian, we say that the pricing was largely stable, quarter-to-quarter. The small uptick is partially related to our joint ventures with Dow Corning but clearly the third-party sales was favorable quarter-to-quarter.
Ian Zaffino - Oppenheimer and Company: Okay, and then, as you look at pricing, if you could look at your crystal ball and you look at pricing progressing, maybe from here or maybe from January 1, going forward, how do you see? Is this something that’s going to slowly move up? Is there going to be stair step up? How do you think about that?
Malcolm Appelbaum: Ian, the answer is that we don’t know. We have said that we believe the pricing has really hit the bottom. As I said in the comments, when you look at our aggregate price for what we have booked is above the index as it was a year ago. We believe that as we get through next year, that business improves. We are seeing good demand out of the auto which is aluminum. We are seeing good demand out of the silicon business and that’s tied to a lot of markets as you know, but some of the larger markets would be the construction market, which is improving, the automotive market which has improved and strong. So, overall, I think the markets are improving.
Ian Zaffino - Oppenheimer and Company: Okay, so if you look at your portfolio, I know you are not going to name customers but what industries would you say are carrying the highest prices or selling prices and what's carrying the lowest selling prices?
Malcolm Appelbaum: Really can't give you that and I really don’t have it all at the tip of my tongue but, overall, I think the only thing I can say is when you aggregate everything together that we have and we talked a lot about the businesses we sell into, overall when you look at the silicon metal market, about 50% of all the silicon ends up in chemicals and about 40% ends up in aluminum which is mainly auto and the balance is, semiconductor and solar. When you aggregate all that together, the average selling price is better than we booked. It is above the indices. Ian, this is largely a single market place and our allegiance is obviously to the highest price to business we can find. So we will shift business as you know between various end-markets looking for the highest price. We are not looking to segment our sales in any way. We are looking for the highest single price. We just booked a pickup order this week actually that’s due by the end of the year. It was a very nice price and it was above the index. We have also got the spot business out there as well.
Ian Zaffino - Oppenheimer and Company: Okay. So I guess, to sum it up, it seems like demand has picked up to the extent that you are really sopping up all the excess supply is gone and now you are in a very tight market that should ultimately respond with demand.
Malcolm Appelbaum: I can't really speak for the other suppliers. I really don’t know where their order book is but all I can really speak to is Globe and as I said, again, I have to repeat myself. The business for next year is coming together very nicely.
Ian Zaffino - Oppenheimer and Company: Okay, and then the final question would be on the deal front. If were to look into other alloys or getting into other alloys, how would you do that? Would you go out and repeat what you did in Nigeria or would you do it in a different way than the Nigeria when you bought some reserves. Do you need that to get into other alloys or how else would that work?
Malcolm Appelbaum: Well, the reason that we looked at manganese was that if we produced manganese, a manganese product containing manganese, we didn’t want to simply be its whole processor but we wanted only ore. Largely the way we would do it is there are two possibilities, Ian. One is to make the product in our existing furnaces, maybe that we used to years ago but don’t make currently but we remain full when expect to remain full. So it's unlikely we are going to have excess capacity to make new products unless the gross margin allows it or dictates it. The other possibility is, obviously acquisition and as you know, we are always working at acquisition possibilities that are similar to our existing businesses. So when alloys that would mean specialty products, niche products, that are specialty grade, that combine or command higher gross margins, that probably have some more customers to our existing product lineup, foundries and fuel (inaudible), and we are actively looking at large number of those. The economy is such that this maybe a very opportune time for us. I am not indicating there is anything happening imminently but there are a lot of capital constrained owners of properties that have historically been nicely profitable and there may be opportunities in the future to acquire them at very low multiples of both assets value and EBITDA. If you look at the history of the company, when you look at our plants and all the furnaces, you go back in time, Globe, over time has a lot different alloys, Ian. So we have got the expertise. We have got the knowhow. We would not necessarily have to backward integrate to only alloy. We would have the ability to go out and purchase the raw materials and make the different alloys that we have made in the past.
Operator: Next question is from (inaudible) of Credit Suisse. Your line is open.
Unidentified Analyst: I had a few questions. First, I want to know about Alden Resources. What is your production currently and what are you expecting in terms of 2013? Also, what is the kind of discussion that’s going on, on your met-coal third party contracts for 2013?
Malcolm Appelbaum: Alden is not technically met-coal. It’s a very highly specialized grade of coal that’s low ash, that’s used like silicon smelters and only available in a couple places in the world. We believe, based on the results we have achieved from the coal from the Blue Gem seam at Alden mines, that ours is clearly the best in the world in terms of performance of silicon smelters. We don’t break out specifically the tonnage of the coal but at this point, we are satisfying all our internal needs for coal and have an adequate supply to all the plants to the point where we can ship by rail versus trucks to our plants from the mines which is a much lower cost of transport that I had mentioned and we are selling to third parties at a run rate of roughly 100,000 tons of coal to ultra low ash coal at this moment. We are looking to expand production.
Unidentified Analyst: Okay. So the other part what I wanted to know was that, what is your expectation for utilization rate at Bécancour next year? Also, so you gave us guidance about production for next year and what about cost?
Malcolm Appelbaum: On the production side, typically our furnace is running at an efficiency rates of about 90% and we would look for the same there. As I mentioned, we are taking all three of the furnaces down for planned outages this month that will last approximately a week each. So we don’t anticipate any more outages for next year. On the cost side, we think we have opportunities there to continue to become more efficient and reduce cost.
Unidentified Analyst: My last question, again, just on the acquisitions. Are you looking at other regions globally as well? Where do you think would be the most opportunities? Also, just on the internal growth, like apart from Alden what are the other focus areas on internal? Like Alden and Bécancour are there, any other internal growth areas?
Malcolm Appelbaum: Well, there are very few additional opportunities available for acquisition in the U.S. There are some but there are few. So, largely we are looking overseas and we are very comfortable with that. Obviously we own a plant in Argentina, one in Poland, an operation in China and we had opened a plant in Brazil. The opportunities are where the targets are which are largely in South America and Europe, largely. In terms of areas of focus, we are really focused throughout the company on driving cost out because obviously we are a low cost producer and where spot prices are now, we are healthy and nicely profitable. But we are looking to drive cost out of the entire business and so Jeff has probably 30 initiatives that total a fairly large number that he is working very hard on throughout the business.
Unidentified Analyst: Okay, sorry, just one last. What level of percent of production you would be comfortable to be exposed to the spot price market versus contracting out?
Malcolm Appelbaum: Can you say that again please? I couldn’t understand. I am sorry.
Unidentified Analyst: In terms of, you said that about 50% of 2013, you have already committed in terms of negotiations. What is the level of production that you feel comfortable to be exposed to spot market?
Malcolm Appelbaum: I can tell you what we have typically done in the past and again, it all depends on the pricing of the incoming orders but historically we have left about 10%, or ended up with about 10% of the order book at spot prices. So I would anticipate probably somewhere around that number,
Operator: (Operator Instructions) Next question is from Phil Gibbs of KeyBanc Capital Markets. Your line is open.
Phil Gibbs - KeyBanc Capital Markets: Thanks for all the color. I appreciate it. I just had a question on the pricing for silicon metal. You say that the blended basket from what you see now is above current spot levels. Can you give us a sense about how much of your silicon business is on fixed contracts versus index less spot? Then also how much of the calendar 2013 silicon metal booked you have left yet to book from a line perspective?
Malcolm Appelbaum: Phil, I hope you can appreciate this but I really can't answer all that until we really filled up the order book. We like to wait until the pricing season is over before we really give out specifics on how much is indexed and how much is firm.
Phil Gibbs - KeyBanc Capital Markets: But you did about roughly half of the business being.
Malcolm Appelbaum: I have said more than half, yes. But again, getting specific into how much of these filled, I would rather wait till pricing season is over and wait till we get into next year and we give a little bit look on more of that.
Phil Gibbs - KeyBanc Capital Markets: Okay, fair enough. On the outages that you are taking throughout the portfolio here. Are we looking for the outages to be essentially complete by the end of January? So you have five in this coming quarter and then you have got one that falls at Alloy in the third quarter and then are we done for the year?
Malcolm Appelbaum: I would say, by the end of the quarter, by the end of the first calendar quarter of next year. Some of these might leak into February.
Operator: Our next question is from Luke Folta of Jefferies. Your line is open.
Luke Folta - Jefferies: First question I had was basically I am looking at this and I am trying to get a sense of what could change in your earning story for next year outside of just pricing. So, I am thinking about the first quarter of '13 that you just reported. It seems like it should be a good run rate for earnings given that you are fully utilizing Alden coal in all of your facilities now and also you have had a full quarter of Bécancour. So using that as the run rate, as we look into next year, I am just trying to get a sense of, taking it piece by piece, for Alden, are we seeing as much production as we are going to see, based on the current configuration without any additional CapEx going to open new mines?
Malcolm Appelbaum: For Alden, that’s largely true. Although we can expand production somewhat but it is a step function and the next step would be spending another roughly $ 8 million or $9 million in underground mining equipment and opening another mine. There, we will do it if we have enough third party orders at the right price. We are not going to short sell this coal. As we indicated, we strongly believe and the results show it that is, by far, the best coal for silicon smelters. So we are looking for a premium price. If we can get enough orders at that premium price, we will open a new mine but it is going to take probably six months to do that.
Jeff Bradley: Luke, let me just address a couple of other things on the cost side. Mal had mentioned that we have a number of initiatives on the company or in the company right now. So we expect to get more on the cost side as we go through next year. I talked about the Bécancour plant. We have been involved there now for a quarter plus. We have already set a record on tons. So we see upside there as well. I mentioned that revenue streams, such as fume. Don’t really have a whole lot to talk about yet on fume other than that we have some upside there as well. We generate a lot of fume in the company. We potentially see some upside there.
Luke Folta - Jefferies: Just on the coal business again. You had mentioned the expectation that you might achieve a better pricing on the coal going forward. Has there been any instances where that has occurred to date?
Jeff Bradley: Yes, I mean, we I talked about sales to third parties. I can't disclose what we actually charge to third parties but yes.
Luke Folta - Jefferies: So you are starting to see some upside there.
Jeff Bradley: We are running at third party sales at Alden, as I mentioned, about 100,000 tons right now. We are commanding a premium price. The opportunities for silicon smelters, to sell to other smelters obviously are where they are, which is in Europe and South America and largely will compete against wither charcoal or Colombian coal which comes out of a big mine in Colombia and washed in Portugal. We have to deal obviously with freighter for shipping to South America and Europe and we are looking for a net price that probably is higher than the Colombian coal price because we believe and we have shown that the coal can outperform the Colombian coal. We have seen and we have been told, as we have really given samples of this coal throughout the world to the silicon industry that this is the best silicon metal coal out there. What does that mean? That means that it is very reactive. It reacts very well with quartz. It's got very low ash. And it just reacts very well in the furnaces. So, this acquisition, little more than a year ago, was just a fantastic addition to Globe. Not only the fact that we are totally self-supporting now on coal but we have got the best silicon coal in the entire world to sell throughout the world.
Luke Folta - Jefferies: Thanks, but when we look in the coal space as a whole, I understand this is a specialized coal, coal price elements are down a lot year-over-year in '13 so far. I am just trying to understand, are you guys immune from this, in the sense, that because of the coal and the specialized nature of the coal, you are able to price higher year-over-year?
Jeff Bradley: We rather not call this coal. This is not even coal. It’s a very unique additive to making silicon metal and silicon-based alloys. It's not even coal. You rally can't even tie this to the coal market. It is so unique. It has got such a specialized end-market being the silicon metal furnaces around the world. It's just a very unique coal.
Luke Folta - Jefferies: I guess, I totally appreciate it. I am just trying to get a sense of, do prices go up next year for this coal on third part y sales?
Jeff Bradley: We don’t know yet but all I can tell you is, if you are producer out there, the producers don’t sell much looking at the price of this coal. They have got to look at the cost. Does this coal allow you to operate your furnace at a lower cost. We have talked about all the benefits it's given us at the Bécancour plant. We have actually got more tons out of Bécancour as a result of this coal. Without this coal, we would have never had a production record at the Bécancour plant in the first quarter.
Luke Folta - Jefferies: Okay, all right, guys. One last one, if I could. Your Bécancour mill has some contracts that will result in a step up in pricing that’s a result of customer exercising your option. Can you remind us what the magnitude that is just for modeling purposes?
Jeff Bradley: Yes, this contract is rather complicated. There is a put call price, a call price, if we don’t exercise our put and they don’t exercise their call, there is a negotiation and then we either come to a resolution or not. I can say that we are in the middle of continuing discussions with the customer but there is not necessarily an increase in price. No.
Luke Folta - Jefferies: One more, quick one, if I could. I am sorry but D&A stepped a lot. I imagine it has to do with the mining activities. What's a good run rate going forward on a quarterly basis?
Jeff Bradley: Yes, it actually stepped up last quarter related to mining and this quarter related to three acquisition of Bécancour. The level it was at this quarter in Q1 is roughly where you will see it going forward.
Operator: Your next question is from (inaudible) of Sidoti. Your line is open.
Unidentified Analyst: I was off the call briefly before. If you mentioned this already, forgive me. Just two additional questions on the coal. I guess the first one is, are there other potential uses for the coal would be number one, other potential end markets. Then the other would be, what is it costing you now to pull the coal out of the ground. What's the cost to you?
Malcolm Appelbaum: Tom, we haven’t disclosed the cost of extracting the coal but if you are familiar with coal mining, it is sort of at the upper end given that it is a very thin seam and hard to min but if you look at the range of what it costs to extract a high value coal, we are at the upper end. Not out of the range but it would be upper end of the range. There are opportunities, although the highest and best use, from our standpoint, is for silicon smelters, but there are other opportunities which we are working of for this coal that are highly specialized.
Operator: Thank you. This ends the Q&A portion of today's conference. I would like to turn the call over Mr. Jeff Bradley for any closing remarks.
Jeff Bradley: I just want to say I appreciate everybody's interest and we look forward to speaking to you again as we get into next year. Thank you very much.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program. You may now disconnect. Have a wonderful day.